Operator: Ladies and gentlemen, welcome to the Carrefour Analyst Conference Call. I'll now hand over to Mr. Matthieu Malige, CFO. Sir, please go ahead.
Matthieu Malige: Thank you. Good afternoon, everyone, and thanks for being with us for our Q1 2022 sales call. I'm here with Sébastien Valentin and the IR team. Overall, Carrefour posted another quarter of solid growth on the back of high comps in Q1 2021. The quarter was also shaped around substantial external factors, including an increasing inflation and of course, the war in Ukraine. Before we dive into numbers, on behalf of the entire group, I would like to express our deepest thoughts for all those affected by the war in Ukraine. Carrefour has been mobilized since the beginning of the war in favor of Ukrainian refugees with an emergency action by the Carrefour Foundation, which included donations of food and hygiene products in Poland and Romania, and with the setting up of collection points at checkout counters in all the group's European countries. Our support continues. This important point being said, let's start with the global view on our quarter on Slide 2 of the presentation. In a nutshell, Carrefour delivered another solid quarter of growth. Like-for-like sales were up 3.4% in Q1. This was notably driven by a rebound in Brazil and very positive momentum in Spain. This performance comes on the back of a high comparable base. As a matter of fact, sales were up 4.2% like-for-like in Q1 last year as home consumption was supported by widespread working from home and restaurant closures related to the COVID context. We continue to gain market share in a vast majority of markets as a consequence of our strategy focusing on customer satisfaction and operational excellence. Consumer price inflation has accelerated over the quarter with very different levels from one country to another, with Lat Am still at high levels; and in Europe, France, below other countries. So despite the tense geopolitical and macroeconomic context, we are staying the course with solid commercial and cost savings momentum. This gives us confidence in our capacity to meet our target of more than EUR 1 billion of net free cash flow for the full year. On a side note and as announced last February, we launched our share buyback with an initial tranche of EUR 400 million that was completed last week. We plan to continue implementing the program soon, and we confirm that the remaining EUR 350 million will be executed before year-end. Last, on CSR, Carrefour has stepped up concrete initiatives during the first quarter. They are fully detailed in our press release and in the appendix of this presentation. Moving on to Slide 3 and the inflationary environment. As expected, consumer price inflation has increased since the beginning of the year. Against this backdrop, we are at the side of our customers to protect their purchasing power. We are discussing with our suppliers to limit and postpone price increases as much as possible. We are reinforcing our cost savings program, which is targeted at above EUR 900 million this year. In addition, we offer a strong proposition to protect customers' purchasing power, thanks to an extensive range of private label, notably with the Simpl entry price brand, attractive promotional campaigns, strong loyalty programs, which offer material rewards, and overall, a strong position on formats, offering good value for money, notably hypermarkets, cash & carry and Supeco. These features may prove very useful in the coming quarters also as some customers may reduce their budget for eating out and favor eating at home. However, at this stage, I must say that we did not notice any material changes in customer behavior, neither down-trading nor a material acceleration in private label sales, which grew in line with recent trends. Regarding potential shortages, there is a general tension in the supply chain, but we did not face any material issue in Q1 except for a few localized and temporary stock-outs linked to stockpiling or the drivers' strike in Spain. In order to maintain good product availability in the future, we are already taking specific actions, including preventive purchasing and stock building to secure volumes and conditions. Moving on to Slide 4, the bridge between like-for-like and reported sales growth. Besides the strong like-for-like performance, expansion and M&A contributed for 1 percentage point of sales growth, reflecting the positive effects from recent acquisitions and our active expansion strategy. Petrol sales picked up significantly and contributed for 3.3% to the total sales growth, reflecting the increase in oil prices and the easing of sanitary measures in Europe against a very favorable comparable base as mobility was vastly constrained last year. ForEx, which had been negative for us for quite a while, turned positive, adding 1.9 points of growth, driven by the appreciation of the Brazilian real. In total, reported sales were up a strong 9% in the quarter. As you can see on Slide 5, our Q1 sales growth comes after solid increases in all key markets over the past 2 years. We are actually well above pre-COVID levels in all markets. This confirms Carrefour's very strong commercial momentum across very different business environments. You can also notice the strong sequential improvement in Q1 2022 after 2 quarters of moderate growth in H2 last year. Let's now review our different markets in more detail, starting with France on Slide 6. Like-for-like sales were stable after a strong 3.5% in Q1 last year, resulting in consistent market share gains. Food sales were up 0.8% like-for-like, whereas nonfood was down 5.9% like-for-like against the high 13% like-for-like increase in Q1 '21. Inflation in France was lower than in other European countries, mainly due to lower energy costs. Hypermarkets and supermarkets were slightly negative, which we see as a consequence of the easing of sanitary constraints and the reopening of restaurants. The latter did actually generate a strong increase in sales for Promocash, our cash & carry business. We continued our transformation plan over the quarter and 14 stores were converted to lease management as part of the 43 planned for the year. The rest will follow as planned in the weeks and months to come. Online sales kept increasing over the quarter on high historicals. Moving on to the other European countries on Slide 7. Our European markets were well oriented with Spain, Italy, Poland and Romania in solid positive territory and Belgium facing a very competitive market. In a more inflationary environment than in France, Spain enjoyed good market share gains, notably in hypermarkets. The converted Supersol stores kept ramping up and supported the overall performance. Italy posted a third consecutive quarter of growth with like-for-like sales up 0.5% driven by food. Our efforts are bearing fruit as NPS keeps growing steadily reaching new record highs. Poland was strong at plus 5.5% like-for-like, reflecting positive momentum. Romania was also solid with like-for-like sales back to positive territory at plus 1.6%. We saw a progressive recovery over the quarter, which accelerated in March after the lifting of the sanitary constraints around access to shopping centers. Finally, Belgium was disappointing, down 7% like-for-like in Q1 on high comps. We had to face a high competitive market and still suffered from the consequences of the logistic issues at one of our suppliers in Q4. Moving on to Latin America, starting with Brazil, which delivered a very good performance. Atacadão keeps capitalizing on its leadership position and its best-in-class price competitiveness. Like-for-like sales were up 9.2% in the format over the quarter. Volumes, which have turned negative in Q4, are progressively moving back to positive territory. Expansion also contributed to growth. We anticipate Atacadão will further consolidate its market leadership as we close the Grupo BIG acquisition, which we still expect to occur at the end of this quarter. Carrefour Retail was also strong, up 7.5% despite a drop in nonfood entirely attributable to consumer electronics against very high comps. Food sales picked up by a strong 8.6%. Total volumes were positive over the quarter. Financial services enjoyed an 11% increase in billings in Q1 driven by Atacadão. The credit portfolio was up 14%. Argentina's performance was once again shaped around a very high level of inflation. In that context, Carrefour continued to gain market share and outperformed the market with 62% like-for-like revenue growth, reflecting a record level even when restated for inflation, thanks to sharp volume growth driven by all-time high NPS levels. A word on Taiwan now. Sales were marginally down by 0.6% over the quarter. Activity was penalized by sanitary constraints following a pickup in the number of COVID cases in the country. The Wellcome integration is now complete with all stores converted to the Carrefour banner, and stores are posting an ongoing ramp-up in performance. A word on digital on Slide 10. Q1 was another quarter of strong performance for our e-commerce activity as it grew by 10% against 2 years of high historical, leading to a record high level of sales this Q1. Once again, the performance was based on fundamentals with a solid increase in NPS, and as was the case in France, strong growth in home delivery. Carrefour Links is gaining momentum and traction, and we now have 235 FMCG active partners using our services. As part of our digital strategy, we opened 273 new pickup points across our network over the quarter, including 2 large fulfillment centers in France and Spain. So all-in, we're going per plan, with satisfactory outcomes. Before we move to your questions, a quick reminder of the key takeaways on Slide 11. Q1 was another strong quarter for Carrefour. The group is fully mobilized and well prepared to face any potential change in supply or consumer patterns. So we look at the rest of the year with confidence and we reiterate our target of net free cash flow above EUR 1 billion for the full year. I thank you for your attention. Sébastien and I are ready to take your questions.
Operator: [Operator Instructions] First question is from Mr. Xavier Le Mené from Bank of America.
Xavier Le Mené: Two questions, if I may. The first one, just on inflation. Do you have any view where we're going, I will say, especially in France? Obviously, the negotiation ended in February. We started to see some accelerated inflation in March, but where do you see it going forward? And how easy or not easy is it actually to pass it on to the consumer? And linked to that, do you think you've got actually enough cost savings to offset also your cost inflation? I read in your press release that you're mentioning that you are consolidating your economic model. So is it actually a read across for margin and potentially the fact that you may still be able to increase your margin in 2022?
Matthieu Malige: Thank you, Xavier. On your first question relating to inflation, well, I'm not going to speculate on the trends and the levels of inflation in the future given these uncertain times. Clearly, inflation is growing in the market. Consumer price inflation is growing in all our geographies in Q1. It is likely that it will keep growing in Q2 as the war in Ukraine has a consequence of increasing even further cost inflation, notably on energy and raw materials. So it's likely, but I will not make any forecast there. On the overall mix, I think you understand our strategy and what we're doing. There is inflation going in the market at growing levels. We're doing everything we can to protect the purchasing power of our customers while, you're right, continuing to reinforce our economic model. And we think that we can do both. To come back on how we intend to protect the purchasing power of our customers, first, we have discussions with our suppliers in order to limit and postpone as much as we can any product price increase. Then, we are very active on our cost-saving program. We increased the magnitude back in February. We are emphasizing today the number for 2022, which is above EUR 900 million. There is a solid dynamic going on in the teams as we speak. And then we have all our commercial answers to customers to protect their purchasing power with very competitive formats, hyper, Supeco, cash & carry or promotion or loyalty schemes and/or private labels, which have grown, as you know, over the past few years and the Simpl introduction, which is 730 products which offer 5% to 10% cheaper prices than hard discounters. So all-in, we think we can both protect the purchasing power of our consumers and keep reinforcing our economic model.
Operator: Next question is from Mr. William Woods from Bernstein.
William Woods: Two, if I may. Just on pricing landscape in France, could you just comment on how the competitive landscape is? There are obviously some press reports of very strong pricing on baguettes in January. How are you seeing the pricing landscape at the moment? And then the second question is, can you just comment on the supply negotiations and the potential for them to be reopened in over the next year?
Matthieu Malige: Thank you, William. So the pricing environment, so again, the inflation, there is inflation going in the markets and it is accelerating. There are obviously different dynamics across product categories, across regions, across retailers. And we're actually going through an adjustment phase where you see this inflation ramping up with, again, various policies at each retailer. As far as we're concerned, again, we try to limit the increase and postpone them as much as we can and when necessary. And again, as late as possible, we pass the price increase. So that's the overall strategy. It's really a lot of moving parts at the moment, which is what we had expected. On your second question relating to annual negotiations in France, well, they're closed. They were finalized on March 1. We're satisfied that we have reached well-balanced agreements with our suppliers, which we think will create value for both parties. Clearly, we have noticed that we have more and more of a strategic dialogue with the suppliers. I think the fact that we are gaining market share, the fact that we are also having a dialogue around retail media activity, which is important for these FMCG players, all that leads to an interesting dynamic in terms of discussions with the suppliers. So there is no reopening of the annual negotiations, which are now closed by now. There are a number of indexation clauses in the contracts, notably as was provided under the Egalim 2 law, notably as it relates to inflation of agricultural commodities. So we'll see through the year depending on how inflation develops how and if these indexation clauses will apply.
Operator: Next question is from Mr. Andrew Gwynn from BNP Paribas.
Andrew Gwynn: Following on actually from an earlier question, but there was a call for the Egalim to be temporarily suspended in France or parts of the legislation, rather, to be temporarily suspended to support purchasing power. So would you support that and do you think it's likely? And then second question, I'll be the person to ask about consensus, apologies for that, but I think it's sitting today at EUR 2.583 billion, according to Visible Alpha. I'm sure you've got a slightly different consensus in your mind, but is something in that kind of range reasonable today?
Matthieu Malige: Thank you, Andrew. So on your first question relating to a code of conduct which was signed in France. We were supportive of that approach, which I remind you encourages all stakeholders, I mean, manufacturers and retailers, to intensify their dialogue in a very open and constructive way about products which are directly related to the Ukrainian production. So we're happy with that dynamic. I think it's different from a reopening, a global reopening of negotiations. On your second...
Andrew Gwynn: So just on the first one, it was more about the resale at loss threshold. I think Leclerc had called for that to be suspended for the 10% minimum you're supposed to make. Apologies for not being clear.
Matthieu Malige: Yes. Well, yes, I read that. So it's Mr. Leclerc making comments in the press. I think it's very far from being a new rule. So there is a law in place. We'll see if it evolves in the future, but there's nothing of that nature on the table today. On your second question relating to consensus, we're in April and we never comment on full year recurring operating income consensus at this stage of the year. However, you hear today a message of confidence, which is reinforced by our solid Q1 numbers and our performance in all areas, market share, commercial momentum. And we confirmed our objective to deliver the net free cash flow above EUR 1 billion for the year.
Operator: Next question is from Mr. Andrew Porteous from HSBC.
Andrew Porteous: A couple from me. Just on Brazil, I mean, that's an area that the tone seems to have got notably more positive than the Q4 stage. Can you talk about the trends you've seen there through the quarter? And was the exit rate from a volume perspective a lot better than we went into the quarter? And can we hope for more progress there as we move through the year? And then a second one really on the buyback. You've got EUR 750 million buyback out there. You're already EUR 400 million through that, was that something that was planned or did you see an opportunity? Just perhaps you could give us some color and thoughts about your progress through the buyback.
Matthieu Malige: Thank you, Andrew. Well, thanks for flagging the performance of Brazil, which indeed is a very strong performance and indeed a rebound in volumes. Well, I think behind the solid numbers there's a combination of both better market trends and I think Carrefour-specific measures. Clearly, the volumes in the market are in a better trend. I think the lowering level of inflation, which started in Q4 and has occurred over the course of this Q1, has helped volumes in the market. And on top of that, we have Carrefour-specific actions which lead us to gain 1 point of market share with a quite offensive commercial policy. We made some opportunistic purchases at the end of the year at Atacadão, which allowed us to benefit from competitive purchase prices, and we let our customers benefit from that. We also have a ramp-up of the stores that were opened in the years behind us, and so they're gaining momentum there. The same occurred at Carrefour Retail, where we invested in prices and that, I mean, spoke very well to our customers. And the last brick, I think, is digital, where you saw that Atacadão, notably e-commerce is growing rapidly. So specifically to your question on volumes, yes, I think we entered into this Q1 with negative volumes, which was the continuation of Q4. And we have an exit dynamic of positive volumes, both at Carrefour and Atacadão. On the share buyback, so well, we announced the EUR 750 million program back in mid-February. Well, after that, as we always do, we give a mandate to a broker who started to implement the program. And we wanted to go with the first tranche of EUR 400 million to see how it went. And this first tranche has been completed. And as I said in my speech, we're going to get started with the second tranche. We consider that at current levels the Carrefour share is a very interesting investment opportunity. Therefore, we progress with our program at, I think, normal speed, but we don't see any reason to delay the implementation of the program. You saw the purchase price, which is, I think, EUR 18.8 for this first tranche, which I think confirms that it was probably an appropriate timing for implementing the buyback.
Operator: Next question is from Mr. Nicolas Champ from Barclays.
Nicolas Champ: I have 3, the first one regarding France. Could you elaborate on the evolution of your traffic in France during the quarter? And especially, if you see any impact from the rising petrol prices on the traffic for your hypermarkets, for instance? Second question is, again, regarding France. Could you give us some color regarding your exit rate in France? And I mean, the start of Q2, I mean, and more generally, I mean, was the Q1 performance broadly linear or did you see any variation during the quarter? And again, interested to hear your thoughts, your comment regarding the start of Q2. And the third question is about financial services because you provide performance for financial services in Brazil, which is very helpful. But could you give us also some color regarding performances of financial services in other countries, especially France and Spain? This is, I think, an important driver following your Digital Market Day, a significant driver of additional EBIT. So it will be interesting to hear if you see any improvement, further acceleration in the profit of your financial services in France and again, Spain, which are I think the 2 important countries.
Matthieu Malige: Thank you, Nicolas. So in France, on petrol and traffic, well, we have a historical of COVID last year. So clearly, traffic in the roads in France and in our petrol station last year was quite reduced versus normal times. So behind the increase of petrol sales, we have obviously a price per liter effect. And we also have a volume effect with more liters sold. But again, I think that's on the back of very specific historicals. As far as the dynamic in the stores through the quarter, which is your second question. I think we've seen steady performance through the quarter, notably in the hypermarkets. You have seen a number of reports mentioning some market share gains in the hypermarket, which is something to be noted. So again, we think that we have a solid dynamic, which is really rooted in our strategy of pricing, of value for customers, of NPS, of operational excellence. And I think it drives this good commercial dynamic. On the financial services, so you're right, 2 important businesses in Spain and in France, outside of Brazil. So we have a good dynamic in Spain, which confirms the rebound after the COVID years. Things are more stable in France at the moment, but it's quite usual that the rebound in France take more time to happen, but it's stable. So that's a good achievement so far. And as far as profitability on financial services, I'll be happy to discuss that in July with you.
Operator: Next question is from Madame Fabienne Caron from Kepler Cheuvreux.
Fabienne Caron: Two questions from my side. The first one is on trading down in France. So you said, Matthieu, you don't see it in the Carrefour number yet, but we can see it in the French market with the gain of the discounters, the strong gain in market share. And I think Nielsen pointed out that the value line in terms of private label were growing very strongly in the French market. So I'm just wondering if you've got a feel of when you will start to see it within Carrefour would be my first question. And the second question regarding working capital. In this high inflation environment, should we think a bit differently about working capital? I.e., does it make sense for food retailers to overstock to be commercially more relevant for consumers? So should we, do you have an overview of your change in working capital this year?
Matthieu Malige: Thank you, Fabienne. Again, on trading down, we've not seen in Q1 any significant change in consumer behavior. We keep seeing an increasing penetration of our private label products, but this growth in penetration is at similar pace as we experienced over the past few years. So I think it reflects more our strategy or actions, the introduction of the Simpl range of product that I commented earlier than any specific change in consumer behavior. I notice, like you, that the performance of our hypermarkets is improving. That, as I said in the previous question, that we're gaining market share in our hypermarkets. Is that a change in consumer behavior or is it us performing better and better as time passes? Well, I'm not speculating there, but we're not seeing fleeing to entry range products. Overall, again, the consumer behavior maintains quite consistent with what it was in the past. When we speak to our customers, which we do a lot, we hear their concerns about purchasing power. And that's why we're taking all the actions that I described earlier in order to preserve their purchasing power, in order if we need to increase price, to increase it as late as possible and in order to offer customers who want to trade down or differently, all the options are at Carrefour to be able to do that. We're also working a lot on supply to make sure that the products are available. That's also very important. And in that respect, we are making some specific stocks, which is a very good transition with your second question on working capital. We are implementing a few, I would say, speculative or security inventories, notably on the families of products where we think that they are most at risk of experiencing shortages. The Carrefour teams are mobilized. Across the world and across Europe, there is an impressive solidarity between the countries. One country finds the products and gives to the other countries. I think the fact of being present across Europe is proving very impressive at the moment, and that's clear. We are building up some inventories in some categories. We're also reducing our inventories in some other categories, notably in some nonfood categories like electro because we see that the sales trends are a little lower as we speak, and we think that customers are going to be focusing more on food products in the months to come. So overall, I don't think we're going to have any visible impact on our financials. It's just a rebalancing of inventories inside our big inventory envelope. That's what we are doing at the moment. And the fact that we have a strong and I will say, a closer relationship with our suppliers is key and I think differentiating asset at the moment because to find the product, to secure the sourcing, having a very close and strategic dialogue with suppliers proves to be quite efficient.
Operator: Next question is from Mr. Rob Joyce from Goldman Sachs.
Robert Joyce: So a couple on France. Firstly, I think you broadly talked about this, but just to see if we can be a bit more precise. Do you believe that as you sit today input cost inflation in France has been fully passed to the consumer? And secondly, on that basis, how do you see your relative price positioning? Can you quantify how your relative price position has evolved in France in the quarter? And then the final one, just Belgium, sort of notable in terms of, looks like a difficult market. Can you comment on why Belgium is so tough and whether you see any signs of that improving?
Matthieu Malige: Thank you, Rob. So we're at a moment where inflation is hitting the market with consumer price inflation increasing month after month. So as I said, you see different regions, different product categories, all retailers are adapting their pricing policy. So it's clear that you have some categories where your price positioning has improved, otherwise it has deteriorated because of this dynamic movement. We're already in an adjustment phase. But again, we're very mobilized to limit and postpone all these price increases. What we look at very closely at the moment is the Net Promoter Score and the price image that we have. What we notice is that our price image is holding on well. We also look at our market share where we see consistent increase period after period. So when you speak to the customers, they're not happy with the price increases. So I think overall, the price image of the industry is deteriorating, nothing specific to Carrefour. But it's a moment where, clearly, customers perceive that there is inflation going into the market. But we don't see any specific things of Carrefour versus the rest of the market. And again, our price image is holding on quite well. On Belgium, so several aspects to this disappointing performance. First, the market is down on high historicals. So that's the first element, probably the most negative market in all European countries. Then the environment is very competitive. We know that some players have decided to be quite aggressive in pricing at this period. And although it has suffered from the logistics problem we had in Q4 as one of our logistics suppliers who decided, if you recall, to move one DC to another DC. And there has been some social tensions and strikes and the operations had been interrupted at some point. And so we are back to normal, but it took some time and clearly, notably at the beginning of the quarter, we kept seeing some negative impact. So we think that things are going back to normal as the weeks pass but still we had to suffer from that impact in Q1.
Robert Joyce: And any signs of the pricing environment improving there? Is the aggression on pricing ameliorating at all or is it still there?
Matthieu Malige: Yes. It's improving. It was quite late in Q4 to start improving. Actually, it was the last of our European markets where inflation started to increase. It did start to ramp up in Q1, so I think there is similar dynamics, I would say, as what we see in other of our European markets.
Operator: Your last question is from Madame Maria-Laura Adurno from Morgan Stanley.
Maria-Laura Adurno: I have 2. The first one, with respect to one of the comments you made around conversations with suppliers and the fact that you have commodity cost clauses in your contracts. So how often are those renegotiated? Is it something that happens on a quarterly basis? Just so that we understand how to time then, well, the next leg potentially of food inflation coming through. So that would be my first question. The second question, around Brazil, clearly strong performance. Just wondering if you could provide maybe slightly more comments around the consumer behavior patterns and if you've actually seen any signs of down-trading there and perhaps just talk in slightly more detail around your strategy. That would be very helpful.
Matthieu Malige: Thank you, Maria-Laura. So as provided by law, you have very well in mind that under the Egalim 2 law, the price of agricultural products couldn't be negotiated as part of the annual negotiation that was left aside and was not part of the negotiation. And the law also provided that in the contracts, we had clauses so that if the agricultural products' prices were to evolve significantly, then the price would be renegotiated. There is no one mechanic around that because, obviously, the portion of agricultural products depends of each type of product. So it's just that if inflation keeps growing, that portion of the price, not all the price, but that portion of the price component, which relates to agricultural products, could be renegotiated later in the year. It means that a number of thresholds. And again, that depends on which contracts have been passed or reached. So this is how it is constructed. On Brazil, well, I think the dynamic there is positive with, you mentioned down-trading in your comments. We see a positive volume. So I think it's a positive dynamic that is going on in Brazil. We've been quite aggressive on specific promotions, on specific pricing actions as well. And I think that allowed us to take advantage of this moment, of this quarter with very high market share gains as you saw. So no specific change in behavior. Again, we are performing well in the Carrefour side. We are performing well in the Atacadão side. Also performing well on B2B and notably on e-commerce B2B, which is a new line of business that we launched. So well, nothing specific except these good trends to report. And I think we have a last question.
Operator: Yes. We have one last question from Mr. Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: Really just one, I think most of them have been covered, just on the free cash flow. I know it's a little early in the year, but is there any further nuance on how comfortably above EUR 1 billion do you see it? I think in the past you've talked about initially above EUR 1 billion and then talked about comfortably above EUR 1 billion. We're not seeing any sort of nuance at this point. Is that too early or do you have any further color to add on that free cash flow point?
Matthieu Malige: Thank you, Sreedhar. Yes. I think it's a little early in the year. I'm sure we'll have a more educated discussion on cash flow and the landing for the year when we gather again in July. I think the message that you heard today is a message of confidence on the back of this good Q1 and this solid commercial dynamic. So let's discuss that again in July, if you may. Well, thank you all very much for being with us today and for your questions. We wish you a very nice evening. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for your participation. You may now disconnect.